Operator: Welcome to Dundee Precious Metals Q4 and Year End 2014 Results Webcast and Conference Call. I will now turn the meeting over to Ms. Lori Beak. Please go ahead Ms. Beak.
Lori Beak: Good morning, everyone. I’m Lori Beak here, Senior Vice President of Corporate Affairs and Secretary. Welcome to Dundee Precious Metals fourth quarter conference call. With me today are Rick Howes, President and CEO; and Hume Kyle, our Chief Financial Officer. They will each comment on the quarter and annual results. We also have David Rae, our Chief Operating Officer, Nikki Hristov, our Senior Vice President of Sustainable Business Development and John Lindsay, our Senior Vice President of Projects who are here to assist with answering questions following our formal remarks. After close of business yesterday we released our fourth quarter and annual results and hope you had an opportunity to review the material. All forward-looking information provided during this call is subject to the forward-looking qualification which is detailed in our news release and incorporated in full for the purposes of today’s call. Certain financial measures referred to during the call are not measures recognized under IFRS and are referred to as non-GAAP measures. These measures have no standardized meaning under IFRS and may not be comparable to similar measures presented by other companies. The definitions established and calculations performed by DPM are based on management’s reasonable judgments and are consistently applied. These measures are intended to provide additional information and should not be considered in isolation or as a substitute for measures prepared in accordance with IFRS. Please refer to the non-GAAP financial measures section of our most recent MD&A for reconciliation. Please note that operational and financial information communicated during this call has generally been rounded and is in U.S. dollars unless otherwise noted. On this morning’s call Rick will comment on our Q4 and annual operating results as well as the progress being made on our capital projects and exploration programs for the quarter. Hume will then provide an overview of our Q4 and 2014 financial results and our guidance for 2015. With that I’ll turn the call over to Rick.
Rick Howes: Thanks, Lori. Good morning everyone and thanks for joining us today. A strengthening U.S. economy and job market, continued low inflation in the U.S. and weak oil prices continue to fuel U.S. dollars strengthening. Despite this, gold demand and prices have held up relatively well and mining companies have benefited from the weaker currencies and lower oil prices in most of the countries they operate in. Against the back drop of falling margins the sector has responded by trimming costs and applying more disciplined approach to allocation of capital and management of their balance sheets. It has resulted in the sector that is now showing signs of solid improvement and ability to create real value for shareholders even in this difficult gold market. So let me begin by reviewing our operating results and telling you what we’re doing to optimize the performance of our existing assets, improve upon our overall low cost positions and advance our high return growth projects at a prudent pace that preserves our balance sheet strength. Overall, we saw a very strong operating performance in the quarter, largely inline with expectations and reflecting the strong performance at Chelopech, which generated record gold and copper production and improved performance at both our Kapan and Tsumeb operations. With our efforts and focus on reducing costs and maintaining our low cost position all-in sustaining costs were $690 an ounce, 3% better than the low end of our guidance and well below the industry average. With 90% of our copper hedged for 2015 at $3.21, we are protected from near-term copper price weakness. Capital spending of $185 million for 2014 came in 6% below our guidance with our efforts to tighten spending on sustaining capital and improved discipline around our growth capital projects. As I have stated before critical aspects of our strategy is around enhancing the value of our existing business operations and I would like to highlight the work we are doing in each of our operations to do that. At Tsumeb, we continue our transformation of the Smelter to a world class sustainable copper tolls smelting business. The work we are doing to both grow the smelter capacity to meet market demands for this concentrates and upgrade the smelter to modern environmental standards will result in the creation of a unique specialty smelter that is both profitable and environmentally responsible. This work which began when we bought the smelter in 2010 is now well down the tract to being completed. The latest work to install the acid plant is now 85% complete and the project remains on budget. There is no change to schedule since our last update, with mechanical completions still expected at the end of May 2015 and first acid expected in September 2015. Our plans for the ramp up of smelter throughput continues as we endeavor to process increasing volumes of third-party complex copper concentrate available in the marketplace. Our throughput of 198,000 tonnes per annum in 2014 was inline with guidance and increased 30% over 2013 contributing to $18.5 million of EBITDA compared to a loss of $6 million in 2013. This is expected to continue to improve with increasing margins and growing third-party volumes following the commissioning of new converters being installed as part of the acid plant project later this year. And the drawdown of built-up in process inventory through 2015. With the newly installed converters eliminating the current bottleneck we expect to achieve the designed smelter capacity of 240,000 tonnes per year in 2016. Work is progressing on the further stage II expansion of the smelter. A scoping study on the options for expansion to as much as 370,000 tonnes per annum with the addition of holding furnace is nearing completion. Once its past the [indiscernible] review and approval it will move to pre-feasibility study. Work will also continue on identifying suitable feed sources and commercial terms for this expanded capacity. Following Namibian government elections in November, the current Prime Minister and member of the ruling SWAPO Party will become the new President. He will be inaugurated on March 31st, which coincides with the 25th anniversary of Namibian independence. He will appoint a new cabinet at that time. Given the good relationship we have developed with the new President in his role as a Prime Minister, we expect that to continue to maintain a strong productive working relationship with him and his new cabinet and government. Our flagship operation at Chelopech continues to perform well at the designed capacity of 2 million tonnes per annum. Because of the high variability in grades and mineralogy that exists inherently within deposits and the individual ore bodies we will continue to see quarter-on-quarter gradient recovery variation, which will effect metals output and financial results. We saw some very high grade mine sources in Q4, which led to much higher average grades and better recoveries in the quarter and record gold and copper production. Also Chelopech ran about 10% above the 2 million tonne per annum rate through the quarter. For the full year Chelopech’s produced 124,000 ounces in gold and copper concentrate and 36,000 in pyrite, which continues the trend towards increasing gold production every year since 2010. With the addition of the new pyrite circuit in 2014 work is continuing on optimization of the gold and copper recovery into the two streams. Test work has confirmed that the new pyrite recovery circuit was effecting copper milling [ph] circuit performance and adjustments were made to the conditioning process to fix this issue. As a result of this and other circuit stability improvements copper recoveries are now running at expected levels. Further mineralogical work and metallurgical test work is now underway focusing on the optimization of the gold recoveries. Total freight cost of $40 per tonne remained the lowest in the industry for an underground mine of this size. Costs have not increased year-over-year which reflects the continuous improvements that are offsetting the inflationary pressure on cost. Cash cost per ounce netted by product credit at Chelopech were $334 an ounce for the full year. We are continuing with our success in our in-mine exploration program to add additional reserves to at least replace what we mine each year. With the success of this program the mining reserve and mine live still sits at greater than 10 year which has been now for the last six years running. In addition to this program we have started up a regional exploration program around Chelopech. A number of high sulphidation [ph] and porphyry targets have been identified and drilling on these targets began in December. Following the Bulgarian parliamentary elections on October 5th, the center right GERB party was successful in forming a coalition government. As a result some political stability has returned to Bulgaria following a year and a half of instability under the socialist led government. This change has brought the return of the pro-EU and pro-Western Agenda that this party led for almost four years prior to the election of the socialist. We do not expect this government will bring in any changes to policy that would negatively affect the mining industry and our progress with Krumovgrad or Chelopech. We continue to make good progress investing in our Krumovgrad project. All elements of the schedule are still on track including the permitting and approvals that will lead to the issuance of our construction permit sometime in Q3 2015. Release of the funds to begin construction will require Board approval which will not take place until the construction permit and all other necessary approvals have been received and we’re satisfied that we’re fully funded to complete the project even under a potentially weaker commodity price environment. We are currently advancing execution planning and readiness by completing contracts of pre-qualification and vendor data procurement along with project re-base lining and completion of a detailed execution plan. At Kapan following the setback experienced at the mine in Q2 and Q3 of 2014 resulting from the fatality and the subsequent remedial actions undertaken we started to see some good progress on a number of fronts in the fourth quarter. Development in rates improved from 68% of target in Q3 to 90% of target in Q4 following the addition of new equipment brought into improve jumbo drill performance. This will help the targeted three months of developed inventories due to the sustained higher production rates. As part of the recommended design changes from the fatality investigation the main drive opening heights were reduce and require the introduction of smaller production drill that would fit it into these new dimensions. These new drills arrived in October and initial training on these drills have been completed the new drills have improved the quality of drilling but are not yet performing at the targeted productivity levels. This is expected to improve as the crews gain experience working with this new equipment. With the good progress we saw in Q4 we expect to reach full production in Q3 2015. Mine rates improved in the quarter and we focus on improved drilling and blasting practices to reduce dilution. We expect dilution to improve over the next couple of quarters with dilution reaching target levels by the second half of 2015. On the exploration front, our regional exploration activity beyond what I talked about Chelopech we are also active around our Krumovgrad and Kapan operations. Surface drill testing of several targets began on the [indiscernible] exploration licenses immediately adjacent to the Krumovgrad mining concession. Further mapping, sampling and induced polarization screening of numerous other targets in this area is also underway. At Kapan we are continuing the systematic field testing of several identified target to the North of the Kapan deposit. DPM now hold s50.1% interest in Avala following the completion of the business combination with Dunav in October. Avala has since undertaken a comprehensive review of all of its project and developed a near term work plan and strategy. The near term work plan will include identifying new target in areas close proximity to Avala’s key properties and evaluating various alternatives from financing exploration activities on one or more of its exploration properties. It has also implemented cost reduction measures, reduced staff and office and rent cost. In summary we remain focused on controlling executing on our plans to achieve performance targets we have set at each of our operations as well as completing our mandatory capital commitments at the Smelter and moving our Krumovgrad gold project forward. Thank you and I will now turn it over to Hume who will review the financial results in 2015 and guidance following which we will open the floor to questions.
Hume Kyle: Thanks Rick. As Rick highlighted fourth quarter operating results were largely in-line with expectations and reflected record levels of gold and copper production at Chelopech, improving performance at Kapan, albeit still at levels that were below target and a 40% increase in concentrate throughput at Tsumeb. These factors contributed to adjusted earnings of $0.12 and $0.10 per share for the quarter and year compared to $0.08 and $0.23 during the comparable periods in 2013. From a cash margin perspective adjusted EBITDA and the year was $40 million and $98 million compared to $29 million and $103 million in 2013. Similarly funds from operations for the quarter and the year was $39 million and $86 million compared with $24 million and $88 million in 2013. Quarter-over-quarter increases were driven primarily by higher volumes of payable melt sold by Chelopech and Kapan reflecting higher grades for all metals except for zinc. Higher volumes at Tsumeb and a stronger U.S. dollar partially offset by lower metal prices, a lower overall toll rate and margin at Tsumeb due to a greater proportion of third party concentrate being processed in Q4 2014 versus Q4 2013 and higher stockpile turning cost as well as higher overall depreciation. For the year decreases reflected lower metal prices, lower volumes of payable melt sold as a result of lower recoveries at Chelopech and lower ore mines at Kapan higher local currency operating cost and depreciation all of which were partially offset by higher volumes and toll rates at Tsumeb and a stronger U.S. dollar lower exploration cost and lower GC cost at Chelopech. From a cost perspective mine cash cost remained at relatively low level compared with industry peers and support the generation of positive free cash flow at current commodity prices. Consolidate cash cost per ton of ore process of Q4 in 2014 were approximately $46/ $47 down 6% from Q4 2013 and unchanged year-over-year. Consolidated all in sustaining cost per ounce of gold net of bio products during the fourth quarter and 2014 were $419 and $690 compared with $627 and $626 during 2013. The quarter-over-quarter decrease was primarily due to higher volumes of gold sold, lower cash cost and a lower sustaining capital expenditures. The increase in 2014 was primarily due to lower volumes of payable metals sold and lower copper prices partially offset by lower treatment charges at Chelopech and lower cash cost. Cash cost per ton of concentrate smelter at Tsumeb for the fourth quarter and 2014 were approximately $350 during each period compared with approximately $400 and $433 during the same periods in 2013. This reflected higher volumes of concentrate smelters, the favorable impact of a weaker Namibian dollar and lower fuel cost associated with the closure of a – furnace in 2013 partially offset by higher local currency operating cost related to higher labor cost, higher rates of consumptions and rates for electricity and increased spending to improve operating performance. Aggregate sustaining and gross capital expenditures for the fourth quarter and 2014 were $23 million and $185 million respectively down from $48 million and $216 million in 2013 due primarily to higher levels of spending in 2013 at Tsumeb related to its fugitive emissions projects that were completed in 2013 and higher upfront cost associated with the acid plant and converted project which is expected to be completed in 2015. Higher cash flow and moderating levels of capital spending during the fourth quarter contributed to a $13 million increase in overall liquidity. At December 31 aggregate liquidity stood at $201 million including a $165 million of undrawn lines under our committed revolving facility. As of today the extension of the evergreen portion of this facility has been approved by all lenders. Turning to 2015 guidance, overall mine production is expected to between 2.3 and 2.6 million tons roughly in line with 2014. Coals and copper contained copper and zinc concentrate produced is expected to range between a 130 and 150,000 ounces compared with a 145,000 ounces in 2014 and copper is expected to range between £42 and £46 million compared to £46.5 million in 2014, reflecting the impact of lower copper rates at Chelopech. Payable gold and pyrite concentrate is expected to add 33,000 ounces 36,000 ounces up from 27,000 ounces in 2014. At our smelter concentrate throughput is expected to range between 109,000 to 220,000 tonnes again in 2015 reflecting the physical constraints associated with the current mix of higher copper bearing concentrate and the impact of commissioning asset plants and lesser copper competitors during the second-half of 2015 which once complete will enable us to increase annual capacity to 240,000 tonne. 2015 cash cost per tonne are expected to range between $42 and $48 per tonne in line of below 2014’s cash process $47. 2015 oil and sustaining cost per ounce by products are expected to range 720 and 810 up from 690 in 2014. This increase reflects lower forecast oil product prices and higher forecast and sustaining capital expenditures. Smelter cash processes expected to range between 320 and $400 per ton in line with 2014’s cost of $351. Capital expenditures in 2015 are expected to decline from a $185 million in 2014 to something in the range of $100 million to $130 million with sustaining and growth capital spending representing roughly 30% and 70% of all capital expenditures. 2015 growth capital will be focused primarily on completing the acid plant and converted project at Tsumeb and securing the remaining permits and proceeding with construction of our Krumovgrad gold project. Based on this production and our planned capital spending for the current market under the current market environment we would expect to maintain underlying of credit under our revolving credit facility of around $150 million during the quarter. With that I will turn the call back to operator for Q&A. 
Operator: Thank you. We will now take questions from the telephone lines. [Operator Instructions]. The first question is from Ben McEwen with CIBC. Please go ahead.
Ben McEwen: Yes, hi, guys, thanks very much for the opportunity to ask questions. I was wondering if you might be able to provide some more granularity as to the capital expenditure this year please?
Hume Kyle: Are referring specifically to growth capital?
Ben McEwen: Yes. Just looking for a more detailed split in where that capital expenditure is going this year.
Hume Kyle: Well of the $70 million to $90 million in growth capital roughly $30 million to $40 million is in Tsumeb $25 million to $35 lies at Krumovgrad and the majority, the vast majority of the balance relates to Chelopech and most of that relates to projects that we are associated with the original expansion in Chelopech but we are deferred and are anticipated to be completed in 2015.
Ben McEwen: Okay, that’s great. Thanks.
Operator: Thank you. [Operator Instructions]. There are no further questions registered at this I would now like to turn the meeting over to Mr. Howes.
Rick Howes: Well, on that note with so few questions so, thank everyone for attending today and wish you all a good say and a happy Valentine’s Day tomorrow.